Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Arkansas Best Corporation Fourth Quarter 2012 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded, Wednesday, January 30, 2013. I would now like to turn the conference over to David Humphrey, Vice President of Investor Relations and Corporate Communications. Please go ahead, sir.
R. David Humphrey: Welcome to the Arkansas Best Corporation's Fourth Quarter 2012 Earnings Conference Call. We'll have a short discussion of the fourth quarter and full year results, and then we'll open up for a question-and-answer period. Our presentation this morning will be done by: Ms. Judy R. McReynolds, President and Chief Executive Officer of Arkansas Best Corporation; Mr. Michael E. Newcity, Vice President, Chief Financial Officer of Arkansas Best Corporation. We thank you for joining us today. In order to help you better understand Arkansas Best Corporation and its results, some forward-looking statements could be made during this call. As we all know, forward-looking statements, by their very nature, are subject to uncertainties and risk. For a more complete discussion of factors that could affect the company's future results, please refer to the forward-looking statements section of the company's earnings press release and the company's most recent SEC public filings. We'll now begin with Mr. Newcity.
Michael E. Newcity: Thank you for joining us this morning. Today, we reported 2012 losses at Arkansas Best for both the fourth quarter and full year, predominantly related to loss to the ABF directly associated with its industry-high cost structure and lack of operational flexibility. However, once again, in 2012, our non-asset-based businesses had significant growth in both revenues and profits, thus making an important positive contribution towards Arkansas Best's bottom line. The addition of Panther in mid-June and the continued growth and development of our other emerging non-asset-based businesses position us well for improving profits in the future. However, because of their current size relative to ABF, positives of these businesses were not enough to overcome ABF losses in 2012. Later, Judy will give her thoughts and perspective on our recent performance and our opportunities for the future. Now, I'd like to cover the details of our results for the fourth quarter and the full year of 2012. Our fourth quarter 2012 revenue was $537 million compared to $463.2 million last year. Arkansas Best fourth quarter 2012 net loss was $0.31 per share. This quarter's results include an after-tax charge of $2.4 million or $0.09 per share related to an actuarial adjustment to ABF's workers' compensation expense. Liabilities associated with Arkansas Best's self-insured portion of these costs are based on a number of variables and assumptions. During the fourth quarter, we had an actuarial review based on data indicating that many of these claims had a longer duration, higher payments than initially projected. That review was the basis for this adjustment. For the full year of 2012, Arkansas Best had revenue of $2.1 billion compared to 2011 revenue of $1.9 billion. Our net loss for 2012 was $0.31 per share, including the previously mentioned workers' compensation expense increase, compared to a net income of $0.23 per share last year. Our effective tax rate for 2012 was a benefit of 54.5%. This compares to a rate of 33.3% in 2011. It includes the effect of net reductions and valuation allowances on deferred tax assets of $3.3 million. Without these reductions, our 2012 tax rate would have been approximately is 36%. Included in the tax legislation signed in early January 2013 was language extending the tax credits for use of renewable energy and alternative fuels. This credit originally expired at the end of 2011. In the first quarter 2013, the retroactive extension of this credit through the end of 2013 will result in our receiving the benefit of the full year 2012 credit of approximately $900,000 in addition to the amount of the fuel credit that applies to the first quarter of 2013. And moving on to ABF results for the quarter. ABF reported fourth quarter revenue of $423 million, a slight per day decrease compared to last year. ABF quarterly tonnage per day increased slightly by 0.5% compared to last year's fourth quarter. ABF's fourth quarter operating ratio was 103.2%, including the workers' compensation charges, compared to 99.7% in the fourth quarter of '11. The late October occurrence of Hurricane Sandy resulted in lost revenue and profit opportunities at ABF and rehandling of returned shipments due to customer closures the day following the storm. The combined effect of these factors equated to an estimated lost revenue of between $2 million and $2.5 million, and an adverse impact on ABF's fourth quarter 2012 operating ratio of approximately 0.4 percentage points. On a per share basis, this reduced Arkansas Best's fourth quarter results by $0.04. Excluding the effects of the hurricane and the workers' compensation adjustment, the sequential increase in ABF's fourth quarter operating ratio compared to the third quarter was in line with past history. For the full year of 2012, ABF reported revenue of $1.73 billion, the same as in 2011. In 2012, ABF's total tonnage per day decreased 4.6% versus last year. ABF's full year operating ratio was 101.1%, including the workers' compensation charges, compared to 99.8% in 2011. Panther reported fourth quarter revenue of $61 million, the highest fourth quarter revenue in its history. Arkansas Best's other emerging non-asset-based businesses in freight brokerage, vehicle roadside and preventative maintenance and moving services had strong fourth quarter revenue growth compared to the same period last year. On a combined basis, these businesses increased revenue by 32%, highlighted by 91% higher revenue in freight brokerage and 39% of additional revenue in vehicle roadside and preventative maintenance. This was the best quarterly revenue ever for freight brokerage and the second highest quarterly revenue ever for the vehicle roadside and preventative maintenance business. Combined fourth quarter operating profit of these companies increased by over 200% versus 2011. Including Panther, fourth quarter revenues for all of our non-asset-based businesses was more than 20% of Arkansas Best's total consolidated revenue. This compares to 2011 when our non-asset-based businesses were approximately 10% of total consolidated revenue. Now I'll turn it over to Judy for her thoughts about our quarter.
Judy R. McReynolds: Thank you, Michael, and good morning, everyone. While we are pleased with the results at our emerging businesses, as Michael noted, we are clearly disappointed in the return to losses at ABF for the quarter and the year. We recognize that increasing cost pressures at ABF, primarily associated with industry-high union labor costs, must be resolved. I'll talk more about that in 1 minute. First, I'd like to note our non-asset-based business subsidiaries that included newly acquired Panther Expedited Services and our company's offering services in freight brokerage, vehicle roadside and preventative maintenance and moving. As Michael mentioned earlier, quarterly revenue at several of these businesses was at or near historical highs, and all of these companies were profitable in 2012. In general, we are encouraged by the trends we've seen at Panther and our non-asset-based businesses. Among other initiatives in 2012, we added key sales and customer service personnel and invested in service-enhancing technologies, all of which were well received in the market. We also saw another milestone for our company. With the addition of Panther and the growth in our other emerging businesses, Arkansas Best's consolidated annual revenue topped $2 billion for the first time in our history. In fact, the non-asset-based businesses are moving towards becoming nearly 1/4 of our total revenue. The emphasis on growing this side of the business is part of our long-term strategy to ensure that Arkansas Best is well equipped to serve the changing marketplace through both our traditional LTL and our less capital intensive subsidiaries. In fact, throughout 2012, our executive team invested much time and energy in continuing to develop a plan of future growth and expanding logistics services. By building a strong foundation of complementary subsidiaries, we are better positioned to offer end-to-end logistic services in our traditional market and in high-value markets that offer the opportunities for higher margins. Importantly, as I've said, in our total emerging businesses were profitable even during periods of weak economic activity. In recent months, we've been educating our employees throughout the system on the need for all of Arkansas Best businesses, including ABF, to consistently generate profits in order to earn our investment resources going forward. Specifically at ABF, fourth quarter total daily tonnage and pricing statistics saw little change compared to last year's fourth quarter, leading to flat revenue as shippers maintained low inventory levels. At the same time, costs rose due to union labor, contract wage and benefit increases that occurred earlier in the year and because of a lack of operational flexibility. Higher depreciation associated with more expensive capital equipment also contributed to ABF losses. Changes in ABF's freight profile and account mix during the fourth quarter caused total pricing statistics to be the same as last year. However, when adjusted for fuel surcharge and these profile and account changes, ABF's fourth quarter pricing on its traditional LTL business increased more than 2.5% versus last year. Fourth quarter renewals of customer pricing on ABF contracts and deferred pricing agreements continued to be good. Throughout 2012, pricing among carriers in the LTL industry was consistent and stable. For the full year, ABF made steady progress in improving its account yield levels by 4.4% compared to 2011. We believe that the current labor contract negotiations offer an unprecedented opportunity to lower ABF's cost structure and return to consistent profitability. Our current operating ratio levels at or around 100 are not acceptable in comparison with those of our competitors, both union and non-union, nor do they reflect historical operating ratios at ABF. For the first time in our history, we are negotiating on behalf of ABF alone, not as a part of a multi-employer group in which other companies have taken the lead. This is a significant change and means we now have the opportunity to address burdensome costs, outdated work rules and operational limitations that have hampered our ability to serve the market in the way that we want and the way our customers expect. However, we know that we also need the cooperation of the Teamsters leadership to craft an agreement that will help us preserve jobs and protect our employees' retirement. In late December, ABF exchanged initial contract proposals with the Teamsters' National Freight Industry Negotiating Committee. ABF seeks a national contract that eliminates the use of supplements and provides uniform terms for all of its local operations throughout the country. Negotiations are ongoing prior to the current contract's expiration on March 31st. Without significant reduction to our burdensome cost structure and our operating ratio, ABF has informed Teamsters' leadership that extensive network changes will result, including closure of terminals and distribution centers. Earlier this month, 3 ABF drivers were named as captains of ATA's 2013 and 2014 America's Road Team. The recognition of drivers Don Biggerstaff, Loren Hatfield and Otto Schmeckenbecher gave ABF 3 persons on this year's prestigious industry safety team. Prior to their competing in ATA's competition, I had the privilege of spending some time with Don, Loren and Otto here in Fort Smith. They are wonderful people, and I'm proud to have them representing ABF in such an important manner. I was also pleased that in December, ABF driver, Ronnie Milner, was named a Truck Load Carriers Association Highway Angel for actions he took to assist a husband and wife following an interstate accident. Ronnie helped ensure the safety of this couple after the accident and prevented additional collisions related to their disabled vehicle. In closing, and as we look to the future, the economic outlook for 2013 remains uncertain. However, we know our company must succeed despite that uncertainty. As our customers continue to experience variable levels of activity in their own businesses, we remain focused on reducing ABF's cost through ongoing contract negotiations. We look forward to the continued growth of our emerging businesses and the delivery of more robust service offerings to our customers. Our game plan for success takes into account all potential outcomes of our labor negotiations process. And now I'll turn it back to Michael to finish up with some additional financial information.
Michael E. Newcity: I'll wrap things up with a few details about our CapEx. In 2012, ABF's total net capital expenditures equated to $69 million, including approximately $49 million of revenue equipment. Appreciation and amortization cost equaled $85 million. ABF's union labor negotiations are in progress, and we don't know what the financial impact of its new labor contract will be. Therefore, ABF's 2013 levels of net capital expenditures and depreciation and amortization cost have yet to be finalized. In the next few months, as more clarity is gained on potential cost savings associated with ABF's new labor contract, these figures will be made available. I think we are now ready to take some questions.
R. David Humphrey: Tina, I think we're ready for some questions.
Operator: [Operator Instructions] Our first question comes from Chris Wetherbee of Citi.
Christian Wetherbee - Citigroup Inc, Research Division: Maybe a quick question, just on the progress of the volume environment as you've gone through the fourth quarter and into January. So you ended roughly flat on a tons-per-day basis, assuming you kind of got better on easier comps as you went through. But could you just give us a sense of how that progressed and maybe how things look so far on January?
R. David Humphrey: Yes, Chris, I can give you the monthly numbers for the fourth quarter. In October, we were down -- these are year-over-year -- we were down about 3.4% in October. November was up 2.7%, and December was up 2.3%. That all added up to the 0.4% positive for the quarter. So far in January, tonnage is up about between 5% and 6%. Some of that has to do with the fact that January of last year was down about 8%.
Christian Wetherbee - Citigroup Inc, Research Division: Okay, okay. And the comps get a little bit easier as you go forward. Okay, and then I guess, just maybe thinking about that tonnage growth, as we move forward into 2013, I guess I'm just trying to understand, absent anything on the Teamsters aside, how operating leverage kind of comes back to the business in that environment where you're getting maybe kind of load or maybe even single-digit tonnage growth. Do you need to see the networks fill back up for a period of time before you start getting an inflection point on operating leverage? Or is it something that we should see kind of right away?
Judy R. McReynolds: Well, I think it's a function of not only the leverage that you can gain in the business, which should be there with additional tonnage. We've rarely seen a time when it wasn't. But the other thing that is at issue is with the continued weakness in the economic environment, I think David pointed out to me this morning that basically, the economy didn't grow according to the Commerce Department in the fourth quarter and down a lot from the third quarter. When you're in an environment like that, and we're not really certain where we are in 2013, your ability to get as much from that business as you can kind of in a more normal economic environment is not there. It's just more difficult. We do see that tonnage can improve things, but it has to be the right kind of business and it has to be business that can really work for us. And what I'm saying is that's been a little bit harder to come by with this second half weakness in 2012.
Operator: Our next question comes from Justin Yagerman of Deutsche Bank.
Justin B. Yagerman - Deutsche Bank AG, Research Division: I wanted to talk a bit about the Teamsters contract. First concern obviously, is that you've got a pretty big player ahead of you guys grabbing some attention from the Teamsters. So I wanted to make sure that you're able to get the attention you need right now given that UPS is also in the midst of their contract negotiations. And Judy, you laid out a couple of kind of broad strokes in terms of goals, saying cost, work roles, operational limitations that need to be resolved. I was wondering if you could go into a little bit more depth and then talk a little bit about the remedies that you guys are willing to take if you don't get what you need because that was the first I've ever heard you talk about really seriously thinking about closure of terminals and distribution centers. So that was a harder line than we've heard you talk about and much needed, I guess, as well. So I know that's a little bit of a broad question, but I would like to dig in here.
Judy R. McReynolds: Well, no, problem. We do have ongoing negotiations, to answer your first question. We have a schedule that we have been working on and we have been in talks, I think it's a schedule that is on a week and off a week. So that has followed a pattern that we expected and we're not seeing any distractions, so to speak, from the UPS negotiations, and we don't really have the specifics of what's going on there. But we're not seeing any real effect on our negotiating process. We have proposed a single comprehensive national contract that would eliminate separate supplemental documents. The current contract, the NMFA, is outdated and cumbersome, and our goal is to secure a new contract that allows ABF to substantially lower costs, become more flexible and better compete in a changing marketplace, a rapidly changing marketplace, that has seen 100s of union carriers go out of business and non-union carriers succeed. So as a national LTL provider, we need uniformity in things like time off, benefits, scheduling, dispatching, and other work rules to make sure that the regional and national networks that we operate can meet our customers' demands. And those are our objectives in this process. And with respect to our comments on network changes, really, what we have communicated to Teamster leadership is that the extent of those changes will be driven by the results that we have going forward. And if we're able to lower our cost structure, that would be the objective that we have. But in order to satisfy our future success, and to be able to solidify that future success and to satisfy shareholders, we're going to have to take actions that are appropriate for the level of business that we have. And, as I mentioned, that could involve closing certain terminals and distribution centers if that's what we're faced with as our only option. We want to serve our customers the best we can, and we will be able to do that regardless. So we're considering customer service at a very high level in this process. But as you know, we have to make it work for the shareholders as well, and that's what we're focused on.
Operator: Our next question comes from Scott Group of Wolfe Trahan.
Scott H. Group - Wolfe Trahan & Co.: So I heard January tonnage, up 5% to 6%. I don't know if I missed it, did you give what yields are doing in January?
Judy R. McReynolds: No, we did not. But just in general, what we're seeing is not really that different than expectation or that different from what we saw in the fourth quarter. As you move along in these months, we have a tendency to lose some yield as you move month-to-month, but it's fairly close to in line with our expectations. We didn't give specific numbers because we don't have January wrapped up yet, and it's really kind of too small of a slice of the first quarter to be doing that with as many profile changes as we have on the business that we're currently have in our system. So that's kind of the color commentary so to speak on what we're seeing on yield and pricing.
Scott H. Group - Wolfe Trahan & Co.: But it sounds like you think similar to the down 0.7% in the fourth quarter?
Judy R. McReynolds: Well, again, that's the issue. You have to sort through that by saying you can see what the raw numbers are doing and then you have to factor out profile effects such as increased weight per shipment, decline of length of haul and that sort of thing so that you can get at the pure numbers. And again the comment that I made is that what we've seen so far in January is really too small of a slice to do all of that. But we're not seeing anything that's dramatically different than we saw in the fourth quarter or that would be out of line with our expectations.
Scott H. Group - Wolfe Trahan & Co.: Okay. And then, in terms of the Teamsters, what are you hearing from your customers? Are you worried about some divergence to some other LTLs if negotiations come down to the wire? And then what is your ability without a contract to cut terminals? If tonnage is well below past peak levels, why isn't that something that you want to do regardless of wage concessions?
Judy R. McReynolds: We didn't say that it wasn't. I mean, we've got to consider all factors to make our business successful. And with respect to your customer comment, we really can't speak on behalf of customers, and so we won't. But I think that when you sort through everything, we're not seeing much activity there.
Operator: And our next question comes from Ken Hoexter of Bank of America Merrill Lynch.
Ken Hoexter - BofA Merrill Lynch, Research Division: Just following up on the yield portion of that. When you think about volumes being flat and yields being relatively flat, are you giving up yield potential in order to get those volumes now that they're up kind of into the mid to upper single digits here?
Judy R. McReynolds: Well, we're not doing anything to cut prices. We'd look at what the appropriate price is for business as you look at each deal. I will say that in the first quarter, you consider more of the fact that your business has more fixed cost in it because of the network that you operate and that you have weaker levels in the first quarter. And so that's a consideration when you're pricing business. In our costing model, we consider that we have more fixed costs in the first quarter. So when you're slicing it down to quarterly levels, you do have to consider those kinds of things.
Ken Hoexter - BofA Merrill Lynch, Research Division: Judy, if you would just maybe handicap based on your negotiation through the year, can you handicap what you think the likelihood of getting something done before March is? And then secondly to that, if you do close terminals, is there any constraint on dismissing employees based on the contract or are you able to act pretty real time on that?
Judy R. McReynolds: Well, we have to go through -- on the second question. We have to go through changes of operation when we do those kinds of things. I didn't say what would be involved as far as job loss there. So we've got to look at the specific situation to know what the outcome would be there. But we do changes of operation all the time. It's very routine part of our business. We change our network all the time. This would obviously be more drastic than that. And so we would have a process that we go through there that, again, is very much a part of what we do routinely, but it would involve more facilities. And we still feel comfortable that we can get done what we need to there.
Ken Hoexter - BofA Merrill Lynch, Research Division: And the handicapping?
Judy R. McReynolds: Ken, we're working toward having a contract by the end of March. The schedule is set up for that to happen. And so honestly, this is a different process because we're negotiating on our own behalf. We're not a part of any kind of group or team. And so we feel more in control of the situation and know more about the specifics and the path forward. And that's the plan, is to be finished by the end of March. And that's really all I can speak to there.
Operator: Our next question comes from Tom Wadewitz of JPMorgan Chase.
Thomas R. Wadewitz - JP Morgan Chase & Co, Research Division: I wanted to continue on the topic here on the Teamsters. How would you view the ATA contract expiration? I guess, naturally we think well, if you don't get something by then, then there will be a strike or a work disruption. But it's possible that you could keep negotiating. Do you think we should view that as a kind of a hard deadline that there would be a work action if you don't have an agreement by then? Or is it possible that the process works maybe a little differently than we might intuitively think and you might be able to go beyond that without a disruption?
Judy R. McReynolds: Well, there are many options to consider if we don't reach an agreement by March 31st, and we'll communicate about those at the time if that happens. But again, we're very focused on having this accomplished. The schedule is set up for us to have it accomplished by the end of March. And so we really don't have really any more to say about that at this point, but there are options if you're faced with that situation.
Thomas R. Wadewitz - JP Morgan Chase & Co, Research Division: Okay. And what about your -- do you have some type of a contingency plan, where you say, "Well, if we get to this unfortunate situation where we can't come to an agreement and there is a work disruption, this is our contingency," which I'm not sure what that would be? Or just in terms of the structure of the company, you've got -- you said 20% of the book, or 25% that's non-asset, non-Teamster business. Does that change the equation in terms of the ability to withstand a work disruption versus maybe historically that being a difficult thing to do?
Judy R. McReynolds: Well, our strategic planning, and that is including the labor contract process, and that takes into account all options. And we're prepared for any of those paths to occur. But I can tell you this that our goal is to reach a tentative agreement prior to the contract expiration. And we really don't need to have a discussion at this point about the potential for any other outcome. But obviously, you have to plan for things. And we do have a plan as we do for many other paths that we work with.
Operator: Our next question comes from William Greene of Morgan Stanley.
William J. Greene - Morgan Stanley, Research Division: I just wanted to follow up on a question that was asked earlier. I know you were not going to comment on what the customers do. But in your experience with prior contract negotiations, did you see any kind of shift in freight? Was your experience that the nonunion carriers would sell against you in a way that would affect the quarter, so we need to think about tonnage this quarter slowing into March?
Judy R. McReynolds: Well, this is a different deal. I mean, this is the first time that ABF has negotiated on its own for resolution on a contract. And so I don't know that you can look back at any past period and say that, that would become a norm for this process. I can tell you this, there's been a lot of contracts that have been negotiated over many, many years. Our group is experienced with this, and we're -- at the end of the day, we've been able to continue operating well as a company. And so we're not overly focused on that being a large issue. But at the same time, as I mentioned before, we have contingency plans for all outcomes. But it really is a different process because we're negotiating on our own this time.
William J. Greene - Morgan Stanley, Research Division: Okay. And then when we look at seasonality on OR, first quarter relative to fourth, typically I think you have a 400 basis point deterioration in OR. But how do you think about given all the puts and takes here, Hurricane Sandy and thinking about Teamsters issues and whatnot, what's a realistic sequential change this quarter?
Judy R. McReynolds: Well, I mean, I think if you looked at the fourth quarter, you really ought to factor out the effect of the workers' comp adjustment we talked about, which is, I think, about 1 point on the OR, and then the Hurricane Sandy effect was about 40 basis points. So you really ought to factor those 2 things out as you look at the fourth quarter. And really, the best thing to do is just to look at that history because there's -- even with that history, there's a wide range of outcomes that could occur when you look fourth to first. But generally speaking, the best indicators that we have are the average. And I think you're right that it's in that 4 point range, maybe a little bit less than that. But I think that, that's a normal seasonal effect, and really that's what I would look to.
Operator: Our next question comes from Todd Fowler of KeyBanc Capital Markets.
Todd C. Fowler - KeyBanc Capital Markets Inc., Research Division: So just 1 more follow-up on the yields. I guess, I'm trying to understand the impact of mix here in the quarter and thinking about it going forward. The shift that you're seeing in mix, I mean, is that something that's happening by design? Or is that happening with your account base? And what would your expectation be for either continued negative impact from mix going forward based on what you're seeing in the market?
Judy R. McReynolds: It is, I think, not necessarily by design. Sometimes these things happen as a result of many customer decisions and that sort of thing. I mean, there's so many different customers involved in our business that it's hard to say that what's happening there is an orchestrated effect by us. We have seen some strong increases in weight per shipments and some declines in average haul and those continue into January. And I would expect that to continue for some time. We're not seeing any difference or relief from that. We have seen an account mix shift that is somewhat worse for us. When you look at across the company at the profitability of the business, we're seeing some things there that again are worse for us profitability-wise. So obviously, that would not be what we would orchestrate, but that's what happens at times in terms of customer decision-making. But we're not seeing that let up in January, and the short answer to your question is nothing that we're attempting to do. It's just what happens in the mix of things.
Todd C. Fowler - KeyBanc Capital Markets Inc., Research Division: Sorry, I don't mean to interrupt. But the length of haul and the weight per shipment, I mean, those would be directional positives, just kind of as far as indicators...
Judy R. McReynolds: Right.
Todd C. Fowler - KeyBanc Capital Markets Inc., Research Division: Great. And then the second one I had is just thinking about Panther and how you view the margin profile of that business going forward. I think we're up to a full level of the amortization run rate following the acquisition here. I guess, I was hoping you can comment seasonally what we should expect in the first quarter and then how you think about improving the OR in that business. It seems that there were some synergistic opportunities. There was the ability to invest in that business and bring on new salespeople. And I'm curious how you're thinking about the margin profile kind of on a near-term basis but maybe over the medium-term as well.
Judy R. McReynolds: Sure. We are interested obviously in Panther's margins improving. That's seen some good revenue growth. And what we've seen with the, I guess, in the almost a week after we bought them was a downward -- I guess, a decline so to speak in the manufacturing index and some other indexes that directly affect our business. Industrial production was down a lot compared to what was going on in the economy for the second half of 2012. Those had direct impacts on Panther's business in addition to customer hesitation so to speak as a result of the fiscal cliff. And so we expect better margins as industrial production in the manufacturing environment, government spending, those kinds of things improve, I think their prospects for revenue growth have been enhanced by people that we have hired, so there's been some margin effect of having brought on some really good people that will benefit the company for years to come. And we do have an expectation for margins to improve in that business. We have positioned it well and we're working together with them to ensure that they're in the most successful platform that they can be. You mentioned the synergies between the companies, and there has been a number of things that have worked well together. A large portion, a large percentage of ABF, what we would call kind of direct expedited business that Panther handles, that doesn't go through an LTL network because of the customer requirements, is being handled by Panther. And this is again ABF's business that's being handled by Panther, and that's been good. We also have Panther utilizing FleetNet for their emergency roadside maintenance and towing. And that's a relatively good thing. In terms of our total company, it's going to be not a significant driver. But we have a list that's probably 12 pages long of those kinds of things that are in the works between the companies, and it's been very beneficial to have Panther as a subsidiary for our company. And one of the things that Panther is doing on their customer side is increasing their efforts to be a single source for their customers' needs. And as that business comes on, there's some negative margin effect. But as you have that account for a longer period, there's greater opportunities to have more profits associated with it. And that is a strategy for them that I think is going to work for us in the long run. So again, pleased with the revenue side. We were also looking for better margins. But to be honest about it, we didn't anticipate the decline in industrial production in the second half of 2012 to be as severe as it was, and that affected Panther's business and ABF's business as well.
Operator: Our next question comes from David Ross of Stifel, Nicolaus.
David G. Ross - Stifel, Nicolaus & Co., Inc., Research Division: Labor hours per day year-over-year in the fourth quarter, it didn't look like they were down in line with shipments, which were down 2.5%. Could you talk about why that was and how you could better manage that going forward?
Judy R. McReynolds: We have seen some declines. Part of the issue that we're dealing with there is the profile change in the freight. Part of it is a true productivity issue that can be handled better going forward. But the -- this profile shift that we have seen actually hurt the metric that you were mentioning. And we actually have some good statistics on the linehaul side, some productivity statistics there that have really worked for us. So depending on the profile of the freight, you can have those kind of effects. But there is still an opportunity there to improve productivity.
David G. Ross - Stifel, Nicolaus & Co., Inc., Research Division: And do you all manage labor hours around tonnage or number of shipments? And has that changed...?
Judy R. McReynolds: Well, it's managed around shipments. But when you see such dramatic shifts in profile, you have to look at it on a weight per hour basis, too. And I think weight per hour was up some and shipments per hour was down.
David G. Ross - Stifel, Nicolaus & Co., Inc., Research Division: And then what was the average length of haul in the fourth quarter versus year ago?
Judy R. McReynolds: It was 1,036. And then it was -- last year's fourth quarter was 1,049, so down about 1%, 1.19%.
David G. Ross - Stifel, Nicolaus & Co., Inc., Research Division: And then last question, Judy, is if the unions didn't get it for the last 100-plus union carriers who went out of business, why would they get it now? I mean, what have you seen in your discussions with the Teamsters that has them take a different stance that would prevent them from trying to take every last dime until there aren't any left?
Judy R. McReynolds: Well, I think there is recognition that they want to grow jobs. And I think that because of the quality of company that ABF is, there's a great opportunity to do that. I think that there is a recognition of that. In some cases, and I'm not picking on any one particular company when I say this, there has been an opportunity for better management at that company. But ABF is a very well-managed company. And I think there's recognition there that if there is an opportunity to get to the right place, that we will be able to grow and we will be able to grow jobs. And I think that, that is important. Our employees are very focused on this process. They're very interested in this process. And the support is certainly there on both sides of the table, I think, to get this accomplished. And so that's really the color that I can give you there.
Operator: Our next question comes from Art Hatfield of Raymond James.
Arthur W. Hatfield - Raymond James & Associates, Inc., Research Division: Judy, just a couple of quick questions, and I bet you can guess, I'm going to ask about the Teamsters situation. When you consider your strategic alternatives with this and just kind of thinking out loud here with regards to how we could think about the possibilities. Everybody knows, I guess, and appreciates the possibility of labor action on the side of the Teamsters. But do you have the legal right to do a lockout if you feel that things are not going anywhere near where you need them to be?
Judy R. McReynolds: Well, I mean, I wouldn't -- talking about legal rights and those kinds of things at this point are really not what we need to do. We have obviously many legal options, and we can work through whatever is appropriate at the time. And I think we have the flexibility that we need to handle ourselves from a legal standpoint in all the ways that you would expect that we would. But I think the real discussion here needs to be about what we can do to kind of set the course for ABF's future. And again, the single national contract that we have, we think, does that. It actually really puts us from a kind of a service standpoint for our customers on the playing field that we need to be on. And if we're able to accomplish that, there's a lot of growth that can come in the company, and the customer relationships that we have can really work for us. And by the way, that is the strategy with the nonasset-based businesses as well is to get the most that we can in terms of that customer relationship going. In terms of the satisfaction of the customer, we're trying to provide solutions. We need the single contract to be able to have the service that we need to be able to help provide those solutions. And those are the kinds of things that we need to be focused on right now. But legal options are always there, and we can do what we need to when the time comes. But that's our focus at this point is really taking this to a place where ABF can grow jobs. And we're all very focused on that.
Arthur W. Hatfield - Raymond James & Associates, Inc., Research Division: Great. That's great color. And just 1 quick follow-up on yield. You had mentioned what yields did year-over-year based on changes -- making adjustment for profile changes. Did you comment on what it did from Q3 to Q4? If you did, I didn't hear that.
Judy R. McReynolds: I think it was down about -- go ahead, David. David was saying something to me.
R. David Humphrey: I'm sorry. Well, [indiscernible] it was down sequentially about 0.5%.
Arthur W. Hatfield - Raymond James & Associates, Inc., Research Division: I didn't hear that.
R. David Humphrey: Sorry about that. It was down about 0.5% sequentially, and that's after you factor out the profile changes.
Operator: Our next question comes from Jason Seidl of Dahlman Rose.
Jason H. Seidl - Dahlman Rose & Company, LLC, Research Division: Quick question. You were talking about the yield. I was hoping you could give us a little more color. You said your renewals you would categorize as good. I mean, good in terms of sort of at the same level that you were at last year? Or good that they're good but just because you're lapping hard comps since they're getting a little bit worse on at least how you look at it?
Judy R. McReynolds: Well, what we've seen is about a 4% increase in our deferred end contract pricing renewals. That compares to a similar number in the third quarter, 3.7%. But if you look back to last year's fourth quarter it was about 6% -- 5.8%, 6%, something like that. So we have seen a little bit of decline there. But honestly, in the 4% range, that's pretty acceptable results given the environment.
R. David Humphrey: Yes. I would just add that, that period that she's talking about last year was some of the highest that we've had in our history. I mean, at one point, I think in 1 of the quarters, we were up about 7%. And also the renewals that we do in the fourth quarter, it's a little more than in the other quarters. I mean, I think it's like 27%, 28%.
Jason H. Seidl - Dahlman Rose & Company, LLC, Research Division: I think we'll all peg 4% every quarter from here on out, so not too bad. Also real quick, I understand that the comps are a little bit easier in 1Q. Would you say the growth profile in terms of the tonnage on a per-day basis has gotten a little bit worse when you adjust for the year-over-year comps?
Judy R. McReynolds: Well, it's interesting. I'm going to relay this to you to tell you how difficult it is to plan for this environment. Our sequential tonnage change in January is the best in 23 years, okay? But if you look back in the fourth quarter, October sequentially was one of the worst. It was like 22 out of 23. November was back, it was the previous first out of 23. So November sequential to October was really good, and December was about in the middle of the pack. And so now we're into January, and it's one of the best. The reason I give you that color is because of the unexpected future. I mean, we really have no idea kind of how things are going to go given this volatility. And some of this -- October probably was affected by Hurricane Sandy at the end. And so that's maybe something that needs to be adjusted for. But there is a level of bumpiness in these sequential figures, and that needs to be considered when you're looking at January and where we are.
Jason H. Seidl - Dahlman Rose & Company, LLC, Research Division: But can you give a sense for your customer base that was impacted by Hurricane Sandy? I mean, in what percent are sort of back up and running? And what percent are still sort of running in a lag?
R. David Humphrey: I mean, it was pretty much what -- in our Region 2 was the area up there, obviously the New Jersey area and some of those, but that was the primary area. And for the most part, obviously we mentioned in the release, I think, some missed opportunities with revenue. And then the other big thing that we experienced was just situations where a driver goes out to make a delivery and the customer is closed or they're supposed to be open and they're still closed. So you had what's called bring-backs, where you're bringing it back and then you take it out the next day. So that was affecting -- there was a little bit of effect on productivity there. But that was the effect there.
Operator: Our next question comes from Jeff Kauffman of Sterne Agee.
Jeffrey A. Kauffman - Sterne Agee & Leach Inc., Research Division: Two clarifications here. First one from Michael. This workers' comp adjustment, I assume that's a cumulative adjustment. What is the go-forward impact?
Michael E. Newcity: Well, I mean, Jeff, when you look at the year, this is something that you look at -- we look at on a monthly, quarterly basis. It has ups and downs. The first quarter, as you probably remember, was up over our 5- and 10-year averages because of adjustments there. The second and third quarter were actually fairly well below our 5- and 10-year averages. And then in the fourth quarter when we actually looked at some of the longer-term trends on these claims, we did a deeper actuarial review and decided to make this one -- this adjustment to the reserves. And so I think we don't have any reason to believe that our workers' comp experience is going to not return to these 10-year historical averages in the future years.
Jeffrey A. Kauffman - Sterne Agee & Leach Inc., Research Division: Okay. And Judy, kind of a broader-picture thought question. Whatever is going to happen with this contract is going to happen with this contract. But at the end of this rainbow, where do you believe the operating ratio needs to be on your ABF business to warrant what we'll call growth investment or additional investment in the business beyond replacement? And you're growing these other businesses just wonderfully. But the history of growth businesses and union operations under the same roof historically has been difficult. At some point, does it make sense to do what most other companies have done, which would be to separate them into 2 units?
Judy R. McReynolds: Well, I think the first question that you ask, about what operating ratio did we need to basically succeed and grow this business, and it's obviously going to be a low 90s operating ratio. We've seen some competitors be below that. And so we have got to be substantially better on the kind of the core ABF business to be in the posture of growth in addition to just what it costs us to replace equipment and keep things going as they are. The interesting thing for me when I think about these other businesses and how they relate to the core ABF business, we're very focused on making the most out of the customer relationships that we have. And we have 50,000 of those at ABF and we have about another 10,000 or 11,000 at Panther. And what we find is that customers more and more want you to be able to handle their end-to-end solutions for them. And so we are in a terrific position after the acquisition of Panther to be able to offer to do that. We're able to say yes and then figure out the best approach for the customer to achieve their goals and meet their requirements. And so we feel like that kind of looking at the customer is really more the focus and it's less about what you're using to deliver the service to the customer. In other words, it's going to be the most effective approach or the most effective solution to meet their service and other requirements. And again, having the brokerage business, having Panther's business on the expedited and premium logistics side, being able to move their ocean containers in our global business and being able to warehouse their freight as it comes in, and then also doing the LTL business. We see the LTL asset-based business as one of the service offerings that we have for our customers. And so it's -- I believe it's incumbent upon us, and it's the best answer for our shareholders, if we make the most of that customer base. But we are willing to consider the options that we have to, to make sure that, that happens. But that's the focus rather than on exactly whether you're delivering it through a union asset-based company or a nonasset-based company. It's the customer focus, what's good for them and being able to say yes and provide those solutions.
Operator: Our next question comes from John Barnes of RBC Capital Markets.
John L. Barnes - RBC Capital Markets, LLC, Research Division: Judy, just real quick. Your commentary about potentially having to shrink the size of the network or take whatever actions are necessary, do you have a feel for -- and I know it's always a fine line on what you can cut before you jeopardize the network. Do have a feel as to how much you could take out, what percentage of your network you could pull out without jeopardizing the 80%, that whole 80-20 rule?
Judy R. McReynolds: Well, I'm not going to give you a percentage, I'll tell you that, because we want to be sure that we're working through the proposed network changes that are needed based on the outcomes that we have. But I can tell you that we can make substantial changes if we need to.
John L. Barnes - RBC Capital Markets, LLC, Research Division: Okay. All right. And then secondly, and again, I'm sorry to beat this to death, but we've seen in the past, anytime we start going down the path of these negotiations with the unions, we've seen it with all the unionized companies, that there does develop some freight diversion. Have you seen any -- and I'm sorry if I missed that in an earlier question. Have you seen any at this point, where you think customers have made decisions to move stuff around and maybe that's why things are still kind of flattish?
Judy R. McReynolds: Yes. Well, nothing that's obvious to us. But sometimes -- well, if you think about it, there are times when there's more than 1 carrier involved in an account, and so it's difficult to tell. So that's why I kind of characterized my answer that way. But nothing that's obvious to us.
Operator: Our next question comes from Jack Waldo of Stephens Inc. Our next question is from Justin Yagerman of Deutsche Bank.
Justin B. Yagerman - Deutsche Bank AG, Research Division: Just a quick clarification. Michael, you had mentioned, I think a propane tax credit was what you were talking about, about $1 million recognized for the 2012 catchup. Is that going to be a one-time $900,000 gain in Q1?
Michael E. Newcity: Yes. That's all in the first quarter. Now that's retroactive to 2012, but it's also been reinstated for 2013. And so we're going to see probably between $200,000 to $250,000 a quarter after the first quarter through the remainder of the year.
Justin B. Yagerman - Deutsche Bank AG, Research Division: All right. And that will just be on the tax line?
Judy R. McReynolds: Right. But we had that prior to 2012.
Justin B. Yagerman - Deutsche Bank AG, Research Division: Yes. No, I remember. It would be nice to get that back, I guess...
Judy R. McReynolds: Yes, it is. The unfortunate thing is that you have to wait until it's enacted, so it's kind of a catch-up item for 2012 and 2013, and then you do the continuation of it going forward. So we're glad to have it.
Justin B. Yagerman - Deutsche Bank AG, Research Division: Yes. Absolutely. One last just kind of thought here. I mean, outside of this whole Teamster negotiation, I mean, I don't want to pick on you guys in particular. But you'd think that there'd be a road to profitability without this. And I understand that closing down terminals is part of that idea if you can't get the alleviation of the cost structure. But outside of those types of draconian steps, I mean, are you looking at stuff that you think is going to make a big difference as you go through this year aside from all of that? How do you think about...?
Judy R. McReynolds: Yes. Absolutely. Absolutely, we are. We have -- there are number of areas that we're looking at. Now one thing I would correct you a little bit on, the closure of the facilities is kind of, I guess, you could -- you're characterizing it as a draconian concept. What we're doing is adjusting our network to the freight that we have. And we've done that. This is just more dramatic and more kind of in recognition of what the long-term trend has been. There's always a lot of confusion in our business about what business will come back and when. And as you know, we've been in a not-so-good business environment since the fourth quarter of 2006. And so at certain points, you just have to reconcile all that. And this is part of that. And so characterizing it as draconian, I understand where you're coming from, but at the same time, it is truly just reconciling the level of freight and the location of the freight that we have with the facilities that we have.
Operator: Our final question comes from Scott Group of Wolfe Trahan.
Scott H. Group - Wolfe Trahan & Co.: So 2 things. 1: Judy, that big sequential improvement in tonnage or better-than-normal tonnage in January, what's your sense? Is that the market getting better? Or is that something that you guys are focused on and driving? That's the first thing. And then just secondly, can you give us a sense of year-over-year revenue and margins for Panther just so we have a sense on how we should think about trends for modeling in '13?
Judy R. McReynolds: Well, how about we get that Panther information to you offline? And then on the sequential, I don't know if you heard my full answer there. But I went back to October and gave you the bumpiness in the sequential trends. So to be honest with you, I can't characterize January as anything for sure either way. I mean, maybe it's an improvement to some extent in the economy. To some extent, it relates to our past comps. But I don't know that we can say that, that is economic improvement that will be sustainable because of the bumpiness of these figures. But obviously it's a positive. And I think there are indications, and we'll see as we see the other calls and earnings releases unfold, that we're probably not the only one that's experiencing that. And it's not something that we're doing by design.
Scott H. Group - Wolfe Trahan & Co.: So should we see better-than-normal sequential margin trends then in the first quarter?
Judy R. McReynolds: Well, theoretically, you would. But we can't speak to that because of all the different things that we have going on. I would look to what our history has been and really kind of focus on that.
R. David Humphrey: Tina [ph], thanks a lot. I think we're going to end the call.
Operator: My pleasure. Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation, and ask that you please disconnect all lines. Thank you, and have a good day.